Operator: Welcome to Ericsson's Analyst and Media Conference Call for their first quarter report. To view visual aids for this call, please log on to www.ericsson.com/press or www.ericsson.com/investors. [Operator Instructions] Peter Nyquist will now open up the call.
Peter Nyquist: Thank you, Rihana. Hello everyone and welcome to this call today. Today, I have with me Börje Ekholm, President and CEO; and Carl Mellander, our Chief Financial Officer. I will start with the usual disclaimer text. During the call today, we would be making forward-looking statements. These statements are based on our current expectations and certain planning assumptions, which are subject to risks and uncertainties. The actual results may differ materially due to factors mentioned in today's press release and discussed in this conference call. We encourage you all to read about these risks and uncertainties in our earnings report as well as in our annual report. With those words, I would like to hand over to you Börje, please.
Börje Ekholm: Thank you, Peter. And thank you all for dialing in, and welcome to our first quarter 2018 report. As you know, a year ago, we announced our new focused strategy, including a plan on how to turn the company around. Our strategy is based on what we need to do to be a successful company long-term and really five to ten years out. And any action we take today has to purpose to strengthen of our competitive position and build a strong Ericsson long-term. This strategy had two parts or two immediate actions. The first one is that – the first priority was to stabilize the company and simplify our business as well as to take costs out. And during last year, we reduced the workforce by 17,000 net, and we had savings by the end of last year of SEK 6 billion run rate. And we see these effects now flowing through our P&L. By the end of the first quarter, we had reached SEK 8.5 billion in run rate savings. The other component of our strategy was to invest for technology leadership, and we're investing in 5G cloud-native solutions as well as automation and analytics. But we're also investing in new opportunities such as IoT. Of course, we're also investing in making our 4G portfolio more cost efficient for our customers. And in reality here what we're doing is increasing R&D in order to capture a higher gross margin. And that is something we also see verify during the first quarter. While we clearly have more to do, no question. You only have to look at the P&L. I think, we have taken good steps forward to realizing the 2020 targets that we presented to the capital markets in November, where we said we would have an operating margin in 2020 at least of 10%, but also longer term that our margin target is to exceed 12% operating income. And we feel that with the first quarter, we're tracking well along that plan to realize at least 10% margin by 2020. If we look at the overall market, we see stabilizing market with a strong focus on 5G radio and core. We see a clear convergence happening between 5G and IoT. Momentum is very good in North America, as our customers need to manage a growing demand of data, and at the same time position the networks for 5G. We also see that the market in China has slowed down, as the build-out of LTE network is basically nearing completion. So, we see clearly lower LTE deployments. We're continuing to execute on our focused strategy. We see efficiency gains on our coming through the P&L. We see that both in gross margin as well as SG&A. We have addressed 31 of 42 non-strategic contracts in Managed Services. We see growth in new products in Digital Services, still not at the level to offset the decline in the legacy portfolio. But at least we have re-established growth, showing the competitive product portfolio we have. We have also addressed eight out of 45 contract in DGS. On networks, our ERS penetration is now up to 84%. In addition, we have hired 500 more engineers to ensure the leadership into 5G. We see very good demand from customers, which I would say shows the strength of our product portfolio. We see good traction on our 4G products that supports our operators to transition from 4G into 5G. What I think is even more important is the competitive new products we have within Digital Services, where we again see that, that has continued to grow during the quarter. If we move on to look for the Q1, the financial numbers. In summary, reported sales were down by 9% to a large degree depending on currency. And if we adjust for FX, sales were down by 2%. That's really due to the tough and challenged rand market in general, and that's down. But it's also due to the contract review we have done in Managed Services as well as Digital Services. We see gross margin, and that may be the most important thing strengthening and putting us close to our longer-term targets. So, we're in the first quarter at 36% compared to the target of 37% to 39% for 2020. And what is driving the gross margin increase, Carl will go through in greater detail, but it's reality the cost out that we're doing in service delivery, but also the increased ERS penetration. That's the two main contributors. Of course, we also see that we're addressing the challenged contract or the non-strategic contract in Managed Services contributing. Operating income is positive before restructuring costs. That's really the – again, the gross margin expansion, but also the reduction in SG&A, that was getting the stability on during the quarter. And of course, the only other side here is an increase in OpEx, which relates to the increased R&D investments in line with our strategy. Q1, is normally a seasonably weak cash flow quarter. So, we're satisfied to have seen a positive cash flow or a positive free cash flow during the quarter. If we then look on the cost-out. We have a target to realize SEK 10 billion in cost-out by mid-2018 in run rate. By the end of Q4, we were at SEK 6 billion. And at the end of Q1, we have a run rate savings of SEK 8.5 billion. And here I would say it takes about one to two quarters before we have full visibility of the cost-out in our P&L. In Q1, we saw structurally lower G&A of about SEK 600 million, visible in SG&A. So, the run rate SG&A is now down by SEK 2.5 billion. We see run rate savings of SEK 6 billion in service delivery, and this we see in the growing gross margin. We see that across all service areas. So where we are today? We're very comfortable that we will go to – that we will reach the SEK 10 billion ambition by mid this year in run rate savings and putting ourselves to well on track to that. I would also say that just because we reached the target, doesn't mean that we will stop focusing on cost. It is really part of the way we run the company and is institutionalized in how we run the company in order to continue to gain cost efficiencies. In, order to make sure that we get the costs out, we focus on the total workforce. That means, both internal as well as external workforce. And what we see is that, we are basically down by 20,000 from the beginning of last year last year this is the key driver of the cost out. And again, cost out in service delivery is the most important part and that is typically driven by the size of the workforce. So you see the development here, which is net after having invested or recruiting more engineers into R&D. So also during the first part of this year, we have increased the workforce in R&D with 500. So, we're very committed to executing on our strategy, investing in R&D in order to drive gross margin and also finance the increase by partly taking costs out of SG&A. So the key part of the strategy is really not the cost out, it's really the investments in R&D. If we look at the market area sales or sales by market area, you can see that we now have – on an FX-adjusted basis, we have growth in three market areas. In North America, we see that operators are getting ready for 5G. In Middle East and Africa, it's LTE rollout as well as network modernization driving growth. In Europe and Latin America, we see good network sales, primarily in Latin America. In Northeast Asia, we see that the LTE investments are falling in China. And we also see some uncertainty in the spectrum situation in Japan and China, causing a little bit of reluctance among the operators to invest. In Southeast Asia and Oceania and India, it's driven by a tough comparable actually to last year, where we had a lot of large projects completed during the first quarter. So, that makes a bigger decline than the business. With that, I'm going to give the word over to Carl.
Carl Mellander: Thank you, Börje. And good morning, good afternoon, everyone. Before diving into the specifics per segment, I would like to make a comment when it comes to comparability. Last year, not least in Q1 last year, we had, as you know, a number of extraordinary items, provisions, write-downs of assets and so on, which we reported on clearly in that report. And since then, we've had a series of restatements as well, latest now the IFRS-16 restatement of previous periods. So now, as we come out of that period and these restatements, new accounting standards and these ex-o items from 2017, we had the intention now to go back to a more simplified way of reporting. We will not have an adjusted set of results on top of – the reported, instead, we will go for a simplified structure with reported numbers and reported excluding restructuring. And this is what you will see now going forward here when we compare also with the last year. So let's look first of all at networks. Sales down 2% at this point if we adjust for FX then, with a certain regional mix, which Börje already explained to a large extent, then good momentum in North America, Latin America and Middle East, and certain markets, while Mainland China is decreasing in size. If we look at the gross margin, driven by further penetration of the Ericsson Radio System, but also significant cost out. I mean, in the services delivery side, we see that it's now exceeding 40%, excluding restructuring, with an operating margin then following also at 13.5%. So clearly, it is a sign that the investments in R&D are paying off now. We continue here, of course, to invest in R&D for a leading portfolio, and then continue the transitioning into ERS fully. The objective is to fully transition into ERS during 2018 for additional competitiveness. Then our cost out will also continue, and we believe these items are the roadmaps towards the 2020 target of 15% to 17%. If we move to Digital Services. In – within the top line number and decline of 3%, you see that there is mix here with legacy products and the services related to that have decreased further. But we can record growth on FX-adjusted terms in the new portfolio, which hasn't been the case some of the earlier quarters. A strong improvement in gross margin here also in Digital Services, and it's really the cost out. It is the cost out program that is now becoming very visible in the Digital Services P&L as well. A secondary reason is the mix with them. A little bit lower proportion coming from the large transformation contract, but that's more of a limited effect. Operating margin still shows a loss of SEK 2 billion in the quarter and it is an improvement from previous periods, but still a large loss, which we are working extremely hard to turnaround of course. And – so the activity with cost reductions continue with very high intensity across service delivery, but also SG&A. And, we're working on – ways of working in efficiency in R&D as well. At the same time of course it is also an investment area selectively in cloud-native portfolio and, of course, leading into 5G. If we move to Managed Services. The strategy here is, of course, to turnaround Managed Services from a previously loss making position by addressing low performing contracts, the 42 of which now 31 have been completed, but also to take out costs in the service delivery, of course. And, among other things, doing that by investing in automation and machine intelligence to enable further improved cost customer experience, but also of course cost-out. And this strategy has now become visible in terms of P&L result in this quarter, where we actually strongly improve the gross margin and also record a profit on operating income level. Looking at Emerging Business and other. A couple of different businesses within this segment. One is the media side where, as you know, Media Solutions will deal with One Equity Partners will close in end of Q3. And, from that point on, we will retain then the 49% ownership and that will be reflected in how we report this as in terms of share of earnings. But, the media side, I should say, they have also improved the cost situation quite dramatically from last year. But still there is a SEK 500 million loss from Red Bee and Media Solutions combined in the quarter. Other parts of Emerging business here. The IoT and UDN investment areas are showing both growth and improved profit contribution as well. And as you know, the target here is to reach a breakeven profitability. But this is, of course, an investment area and growth from these new areas is an important indicator here, of course, of success to come. Okay. So to summarize that going into gross margin bridge here on this slide and, of course, lets takeaway first of all the ex-o items as we reported them in Q1. And then as you can see, all segments contributed to the improved gross margin leading up to the 35.9%, excluding restructuring. And, you can see the graph here showing, actually the gross margin has been rather stable between 29% and 31% for quite a few quarters now with a sharp increase in Q1, and based on mainly the cost reduction and ERS rollouts. Operating income. So the operating income, of course, was – had a negative impact coming from the capitalization effect, which we have talked about many times; and also a volume drop which, as Börje described, mainly is FX related. Gross margin strongly improving, and then we are investing in R&D and taking out cost in SG&A as you can see in this bridge. And on that topic, if you go to the next slide, you can see how R&D and SG&A have developed more in – a little bit more in detail. In R&D, capitalization hit the R&D line by SEK1.1 billion on a year-over-year comparison. And then, of course, the investments we do in networks and some reductions in Digital Services ended up at SEK0.9 billion increase of R&D. SG&A SEK0.6 billion is the number that Börje already mentioned, which is really coming out of the SEK10 billion program. And this translates into the SEK2.5 billion in run rate achievements against SG&A target of SEK3 billion being a part of the SEK10 billion. Free cash flow, strong cash collection in the quarter, this went well. And among other working capital items, we saw a certain buildup of inventory. This is, however, the usual seasonal pattern between Q4 and Q1. So this we're working hard to bring down, of course, as we deliver to customers in Q2. And you see here, we have ended the period with better net cash as well as gross cash position further building financial resilience in the company. As we mentioned the dividend that will be paid in April, SEK3.3 billion that's not included in these numbers here. Okay, planning assumptions, finally. Some of which are unchanged, including the raw and equipment market for this year is minus two. We introduced a CAGR here, more or less based on external institutes, also a positive CAGR from the period 2018 to 2022. Important to keep track of currency movements, as you know, we are dependent on the U.S. dollar movements. So we provide here again the rule of thumb we have used before. When it comes to the short-term seasonality on top line, the typical seasonality growth in sales is still 9% from Q1 to Q2, and that could serve as a starting point. We also talk about the cost savings. As you know no change there and we remind everyone that OpEx can vary between quarters in accordance with seasonality. We stick to the restructuring estimate of 5% to 7%, and Q2 will be a little bit higher than Q1, which was SEK1.2 billion in restructuring. Media Solutions, I've already mentioned. And finally, then, when it comes to the capitalization impacts where we provide the details here, just a reflection that you can see that going forward, the delta impact all capitalization will be less impactful on the P&L. Thank you, and with that back to you, Börje.
Börje Ekholm: Thank you, Carl. So just to summarize in closing, a year ago, we set out our new focused strategy. And we have since then executed on that plan. And it is good to see that we are executing and we are now starting to see the effects of the plan. At the same time, we are of course not yet satisfied as we have not yet reached the goal of 10% operating margin. And we still have a long way to go to our longer-term margin of about 12%. But what we see is we see cost efficiencies coming through in the P&L with lower SG&A as well as expended gross margin, we have a cost-out at the end of the first quarter reaching a run rate of SEK8.5 billion, and we're confident to reach the SEK10 billion target by the end of the second quarter. And as we go forward, we will put – we will institutionalize the way we work in order to continue to have the focus on being cost efficient, although we will not provide any additional targets per se. Our target of reaching 10% operating margin by 2020, we are working long and feel comfortable to reach that. During the quarter, we have seen good performance and stable performance in networks, expanded gross margin driven by cost-out and increased penetration of Ericsson Radio System, as it is a very competitive platform that puts the customers by investing in ERS, they get their networks ready to migrate from 4G to 5G through a simple software upgrade. And we see that's having good traction with customers. We're also continuing to increase investments in R&D year-over-year, as we make sure we have a very competitive product portfolio that will drive long-term gross margin. We have seen reduced losses in Digital Services. Thanks to a much better gross margin, which is the cost-out in service delivery getting effect, we're also seeing that we are increasing our efficiency and reducing complexity in R&D, which has allowed us to save a little bit on R&D investments here as well. We continue to invest for the future within Digital Services, and we do that in our new 5G-ready and cloud-native portfolio. We have also been able to turnaround Managed Services. That is thanks to primarily cost-out, but also to the contract review. And Q1 is normally a difficult cash flow quarter. So we're very – it's very good to see that we could generate the positive free cash flow during the quarter and being in a stronger financial position than we entered the quarter, which is very good to see. So I would summarize by saying we have seen encouraging steps forward or improvements, but there are a lot more work that needs to be done. So with that, thank you.
Peter Nyquist: Okay, thank you, Börje. So Juan, we are now open for questions, if you can start.
Operator: Thank you. Ladies and gentlemen at this time, we will begin the question-and-answer session. [Operator Instructions] And our first question comes from the line of Edward Snyder from Charter Equity Research. Please go ahead, Edward. Your line is open.
Edward Snyder: Thank you very much.
Börje Ekholm: Good morning, Edward.
Edward Snyder: A couple, if I could. First off, China has to push – China has made a big noise especially last year about being the first to deploy commercial 4G networks. That accelerate in your opinion, the momentum towards that end in next 18 months or so or do you expect like T-Mobile will just market like LTE advanced systems with a few tweaks and going to 5G? And if you could maybe comment on how the U.S. and China trade tensions impact the Ericsson other than the currency impact? Are you helped or hurt if it become more acute? Thanks.
Börje Ekholm: I'm sorry. I didn't hear the beginning of the question. Can you repeat that, please?
Edward Snyder: Sure. China has discussed or made proclamations in fact they wanted to be the first country to deploy commercial 5G network. I mean, in many respects, they are a bit behind in 4G. Have you seen any motion on the ground that suggest things might be accelerating in the 5G systems or they just going to know they've got 4G out fully, just use more advanced 4G networks like LTE advanced, but if you tweaks on like T-Mobile did with 256 QAM on the 4G in band 71 and call it 5G. So are you seeing any motion in China to an acceleration of 5G? Did that change your outlook over the next 18 months on when you think you'll see commercial 5G revenue? Thanks.
Börje Ekholm: No, what you see – I would say, actually the 5G has accelerated all throughout last year in China. And you see that in the way their standard has evolved during this period. So we see no reason to say that China is slowing down. They are going to be early in deploying 5G. You also see North America, also investing heavily to be more heavily, but investing in order to be early on 5G. So I would say you see the 5G development is led by North America and China. That is – or China, and I would add Korea, Japan.. You'll get a fuller picture but that's kind of the – what you see. What you see is, though, the high band more in North America whereas you see probably more in industrial application in China. So you may see a little bit different applications at the end of the day. But they are clearly pushing along. So we expect to see – when we provided guidance to the capital market on the Capital Markets Day in November, we said that our guidance is to know 5G revenues. We didn't say that because we didn't believe in 5G. We said that in order to be prudent on managing our cost structure. But what we see is clearly that we expect to see commercial 5G revenues already this year, and we will for sure see a little bit of a ramp next year as handsets come available.
Peter Nyquist: Okay, thank you, Ed. Are you happy with that?
Edward Snyder: Yes, thank you.
Peter Nyquist: Next question please.
Operator: Thank you. Our next question comes from the line of Simon Leopold from Raymond James. Please go ahead. Your line is open.
Peter Nyquist: Hi, Simon.
Simon Leopold: Great, thanks for taking my question. I wanted to get a little bit more clarity on how to think about gross margin through 2018? The quarter you just reported was surprisingly strong. I know that there is some seasonal aspects that help in the March quarter. But I think, my confusion may be a little bit amplified by the restatements from IFRS 15, looking at what 2017 gross margins were much lower than we had anticipated. So I'm trying to figure out how much of the outlook for 2018 is affected by the restatements in the accounting change? How much is the cost reduction? I think, I'm looking for a bridge. Thank you.
Carl Mellander: Okay, hi, Simon, Carl here. So first of all, when you look at the gross margin improvement, I think just to start on from last angle then, about half of the 600 basis points improvement comes from the cost-out. And of course, that initiative continues and will generate additional benefit as we go forward because, as Börje said, there is a delay also from action to visibility in the P&L. So that's about half of it and then, say, about two percentage points come from the Ericsson Radio System. Hardware margins are lowering the cost of sales there. And of course, we expect the penetration of that also to continue. So those are some of the hints. And maybe to mention the third element as well, and that's a mix of things. But it includes also the contract renegotiations and exits that we are doing. And of course, that effect will also continue to increase over time. Then, of course, there are – that could be seasonal variations, but also geographical mix variations over the quarter. So it's not going to be a linear journey and necessarily a road up from here. Individual quarters can vary. But I would say the fundamentals that I just mentioned and cost-out, ERS and contract exits, they have affect this quarter and that will continue also throughout the 2018.
Simon Leopold: Okay, would you expect...
Carl Mellander: Sorry, go ahead.
Simon Leopold: Yes, I just wanted to clarify, would you expect that the March quarter would mark a high for the year because of typical seasonal patterns, but we should look for meaningful year-over-year improvement throughout the balance of the year?
Börje Ekholm: What I can say, there is nothing material in the mix of business. For example, there is not a particularly strong software component in Q1 that would indicate a typically higher gross margin from that point of view. So – but I also wanted to comment on IFRS 15. I mean that the numbers will report now. They are compared with 2017 restatements, of course, as you know. I mean, using exactly the same accounting principle. So I – there is – I wouldn't use that as any reason to explain a delta now in the gross margin, because now it's sort of apple-to-apple when it comes to the IFRS portion of it. I hope that responded to your question, Simon.
Simon Leopold: Yes, that’s helpful. Thank you very much.
Peter Nyquist: Thank you, Simon. Next question please operator?
Operator: Thank you. Our next question comes from the line of Richard Kramer from Arete Research. Please go ahead, Richard. Your line is open.
Richard Kramer: Thanks very much, Carl. Just to follow-on from that and a quick clarification. You seem to be telling analysts this morning that having less transformational deals in the Digital Services mix is sort of something you didn't have in the mix, may have boosted gross margins by 100 basis points or more. Can you just comment on the flexibility you have under the new IFRS standards in terms of timing of revenue recognition on these long-term deals? And maybe a sort of broader question for Börje. You spent a lot of time in Mobile World Congress, sort of suggesting that regions like Europe needed to move more quickly on 5G, a lot of European and LatAm carrier, sorry, which is your single largest region seemed to have a very little plans to aggressively pursue 5G, many of them are just now putting in second LTE carriers. Do you see any risk or – within your expectations for the 2020 revenue? Does that require European carriers to start to move aggressively towards 5G, where you don't really see the conditions for that happening in place right now? Thanks.
Börje Ekholm: Should we take the last question first. As we said, at the Capital Markets Day in November, we do not have in our guidance or our forecast any revenues. And that means no revenues from 5G. So that doesn't require any revenues in Europe either. So I don't – it's not going to have – we won't plan that way. Do we would expect that to be the case? No, we do expect to see revenues, but we don't know when that would happen. You're also right in the sense that Europe has some regulatory hurdles, and they have some uncertainties that doesn't drive operators to invest in 5G. But what they want to do, though, is to prepare their networks to be ready for 5G. That means, as you invest in 4G, you want to buy a platform that allows you a easy or cheap, inexpensive, whatever you want to label it, but an easy path into 5G. And that's what we see our product portfolio is gaining increasing traction. And you've seen that we have taken a number of accounts in Europe, and that's done based on the technology we offer and the solutions our product offer. So in short, no, we don't need 5G revenues in Europe to reach the plan. We, as a matter of fact don't need 5G revenues anywhere to reach the plan because it's not included. But we have included all the costs to develop 5G in the forecast.
Carl Mellander: Should I take the other question you have mentioned you have…
Richard Kramer: Yes, please. Thanks.
Carl Mellander: When it comes to IFRS 15, of course, it provides, I would say, a prudent way of recognizing revenue. And when it comes to these contracts that you referred to, they are – as revenue recognition is driven by milestone. So it's really a matter of which milestones and – are reached within the certain quarter. And it's right that in Q1, the proportion of these contracts was a little bit lower. And so that is a secondary reason for the improvement in gross margin in Q1. But a major and absolutely biggest reason is cost-out. So if the mix can and will vary between the quarters, but again the cost-out is the big, big driver here.
Richard Kramer: Okay, and should we expect a second cost-out plan, sort of, when you reach the steady state in first – after first half, should we expect that to extend through 2019, since there is clearly between Managed Services and some of the other divisions more work to be done?
Börje Ekholm: As I said during my presentation, we will not have an additional program. What we are going to do is to work continuously on making ourselves more efficient and take cost-out. It's critical that we have a ways of working that actually ensures we long-term have a competitive cost structure, and that you can only do if you continuously focus on that.
Richard Kramer: Okay, thank you.
Peter Nyquist: We’ll open for the next question, please.
Operator: Thank you. Our next question comes from the line of Douglas Smith from Agency Partners. Please go ahead. Your line is open.
Douglas Smith: Can you hear me?
Carl Mellander: Yes, Hi, Doug.
Douglas Smith: Hi, yes. Just two quick questions about networks, throughout the previous year, the gross margin on network hovered pretty close to 35%. Do you expect or should we expect the new normal in networks is now 40%-ish for 2018?
Börje Ekholm: I think, what we see now is that cost-out in service delivery is proving itself in the P&L, and that in combination and with the Ericsson Radio System penetration is driving the gross margin up to this level of above 40%. And I think, in both cases, I mean, this will continue. We have also been awarded additional business from some customers, as we have talked about, and that is based on the technology level. So more business is there to be taken based on the strengths of the Ericsson Radio System. So I think all of these aspects, of course, support and improve gross margin towards the levels needed for the 2020 targets.
Douglas Smith: Okay, that’s great. And just a follow-up on another statement you made about gaining market share. Do you anticipate perhaps gaining further market share? Should we expect that either from Chinese or non-Chinese competitors?
Börje Ekholm: We focus on running our business in a disciplined and prudent way. So when we see that we have an opportunity to expand our market share based on our technology and technology leadership, we will try to do so. So this will depend on situations that come up and in specific situations that we compete in. But of course, it is important what we achieved last year to gain market share and at the same time expand gross margin.
Douglas Smith: Okay, thank you.
Peter Nyquist: Thank you. And we will go for the next question, please.
Operator: Thank you. Our next question comes from the line of Alexander Duval from Goldman Sachs. Please go ahead. Your line is open.
Alexander Duval: Duval from Goldman Sachs. Thank you for the question. Just a couple. First of all, just wanted to clarify exactly what your RAN revenues growth at Ericsson would have been in the quarter excluding FX? Obviously, you talked about networks being down in constant currency about 2%, but given that there are some of these lower-margin items outside of RAN that you've been exiting, be great if you could give a bit of a viewpoint on that? And secondly, on your 10% long-term group margin, you said today that you're comfortable about that 10% for 2020. But could you clarify is that minimum level? Obviously, if you add up the margin midpoint through different segments where you have targets for 2020, it actually comes to something that's higher than 10%? So just wanted to understand, is that a minimum and then what are the kind of things that would be needed to be achieved in order to do meaningfully better than 10%? Would need to do for example, significant 5G revenues to do that or there would be other things? Many thanks.
Börje Ekholm: If we start with the second question, the answer is yes. You have done the math right. And when we put the plan out for 2020, we wanted to make sure that we had a plan, which is robust and gives cushions in. Then – so that's we're tracking well along the plan. And if it becomes better or not, that's – that depends on how the markets, that's what happens, et cetera. But we're very committed to at least reaching 10%. But you can see that – from the math that our plans are higher than that. That's no secret. We’re a cautious bunch. We want to make sure that we put out numbers that we can deliver. On your first question, related to the growth. Actually we break down the growth in the report between products and services, but we don't go further than that specific parts of the networks business.
Alexander Duval: Okay, got it. And just one quick follow-up on your Digital Services area. You've talked about some of the rationalization you're trying to do in the number of products there. And one of the things you've talked about in the past is about making installation of products easier for customers, you can reduce escalations and then hopefully have a lower amount of OpEx in my mind at least to support all those products. Could you give a quick flavor of what the customer reaction is and how that's trending? You gave a bit of an overview of that at Mobile World Congress, but it would be great to hear the latest trajectory. Many thanks.
Carl Mellander: I think, when it comes to the products that, what we call, the flagship products, then the focused portfolio in Digital Services. Of course, the idea there is to scale our software sales through these products and lead with solutions rather than as previously was the case with services, but also building efficiency in the support of those products. That's a simplification. I think – and Börje you can fill in also, but when it comes to customer dialogue around this, I – my perception is that, that is positive. I think some of the products are gaining a lot of traction with customers when they’re modern and so on.
Börje Ekholm: No. The message from customers is actually that these are critical pieces for their business, and to realize the potential of their own business and our commitment to deliver them are well appreciated by customers. And as we work this through, we're getting signals from customers that we're performing on the deliveries, and that's really the key here.
Alexander Duval: Great. Many thanks and congrats on the strong quarter.
Peter Nyquist: Thank you, Alex. We are ready for the next question, please.
Operator: Thank you. Our next question comes from the line of Sandeep Deshpande from JPMorgan. Please go ahead. Your line is open.
Peter Nyquist: Hi, Sandeep.
Sandeep Deshpande: Hi, thank you for letting me on. I have two short questions. Firstly, my question is regarding the balance sheet. I mean, you have taken some – in the balance sheet where you've discussed the provisions, you have taken some additional provision in the quarter. Is this provision not restructuring related and which is why it has not been called up in the restructuring? And then secondly, my question is, again, on the Digital Services business that you have touched many times. But I'm trying to understand that this cost, which has gone out of the Digital Services business, would it mean now that future projects undertaken by the business will have a similar cost structure and then a similar margin structure? Thank you.
Carl Mellander: Yes. On the provision side, I thought with that, and – yes, some of it is restructuring, about SEK 1.2 billion for restructuring added then in the quarter. There are also, given the new accounting rules here, there is a little bit of a difference in loss provision. So there are certain loss provisions for contracts taken in the quarter in accordance with the stricter IFRS-15 rules. So it's a mix of both.
Sandeep Deshpande: Okay, thank you.
Börje Ekholm: On the cost-out in Digital Services, yes, we have changed the way we work and the way we put our – the way we run the projects. And that's why we're very comfortable about it going forward, but we should have a lower cost structure in our project than we have had in the past. We're also – we have to be – we have said this before, one of the reasons we have struggled in some of the large transformation projects is our ability to take the projects, i.e. scoping and define the scope and define what's covered, et cetera. And here we're also putting better measures in place compared to what we have had in the past. So I would say we should avoid the mistakes we've had to large extent, and we should have been able to improve the profitability on new and future contracts.
Sandeep Deshpande: Okay, thank you.
Peter Nyquist: Thank you. Let’s go to the next question please.
Operator: Thank you. Our next question comes from the line of Amit Harchandani from Citigroup. Please go ahead. Your line is open.
Amit Harchandani: Good morning. Good afternoon. Amit Harchandani from Citi. Thanks for letting me on two questions if I may. Firstly with respect to adoption of your technology by customers, could you give us a sense for what are the puts and takes that are being discussed with these customers that are in turn translating into decision for going ahead or not going ahead with 5G? How do you sense customers thinking about it in terms of their own economics? That would be my first question. And secondly, could you maybe give us your view on IPR as a revenue stream. You have given us a baseline revenue. How are thinking about visibility on that revenue stream and what are you factoring in, in terms of your outlook towards 2020? Thank you.
Börje Ekholm: On the first question what you see – I think it is – if you look at what does 5G bring to a operator. And you know – I think, the first used case or the first business case, where it actually makes economic sense for an operator to use 5G is for enhanced mobile broadband. And the reason for that is that today basically data traffic grows or doubles every 18 to 24 months. And in order to avoid having an exploding cost structure in an operator, you need basically to reduce the, call it, a dollar per gigabit gigabyte. And one way to do that is, of course, to add carriers to 4G. But eventually in order to get the increased efficiency, they are going to go to 5G. So we believe, actually the first used case is not the new application. It's actually going to be for – to be for enhanced mobile broadband in order to augment capacity in areas where you have restricted capacity. What does that mean for the operator, and this is in a way of saying that, yes, it's better to invest in a network which is easily upgradable into 5G, because then you can add the capacity as you need it and you can add it in locations where you need it. And that's where we see very good discussions with many customers on investing in 4G, as they get ready for 5G. So that’s why we feel we have a very strong product portfolio and a very strong offering that helps the customer to longer-term lower the cost per gigabyte, and that's ultimately what needs to happen for their own business. And the second question…
Carl Mellander: And the second on IPR, Amit, and Carl here. As you know, then, we have SEK7 billion as revenue base line for IPR business for this year. And I think – and you know that, the upsides we are pursuing, of course, relate to emerging handset vendors who are still unlicensed and – but also the IoT side of course, and even 5G patterns. But I would say, if you have the longer time horizon 2020, we have taken a robust view in our own planning and in our own targets, I think, when it comes to the IPR revenue seeing that's rather stable in the planning as such.
Amit Harchandani: Okay, but – thank you.
Peter Nyquist: Amit, thank you. We are now ready for the last question for this session. So, operator please.
Operator: Thank you. Our last question for today is from Stefan Slowinski from Exane BNP Paribas. Please go ahead. Your line is open.
Stefan Slowinski: Yes, hello. Can you hear me?
Peter Nyquist: Yes, hi, Stefan.
Stefan Slowinski: Hi. Thanks for squeezing me in. It seems like your ducks are lining up here in a row. The underlying market is stabilizing, you're winning share, 5G revenues are beginning cost cutting plans is taking shape and should be fully felt by the end of the year, currency is at 8.4, again, moving in your direction. So my question is, if those current industry and market and cost-cutting trends continue, why won’t you would be able to hit that 10% margin target in 2019 rather than in 2020?
Börje Ekholm: Let’s put it this way. We put a plan in place that we wanted to make sure we can reach. That's why we have all along felt comfortable about our guidance and said that we're going to reach at least 10% margin by 2020. I think we see many good developments happening and we see a lot of improved competitiveness through a better cost structure on our side. So we're going to work hard to capture upsides. But I – when I see here today, I don't feel like I should promise that. But I feel also that we're really motoring along our plans to reach 10% plus by 2020.
Stefan Slowinski: Okay, thank you very much.
Peter Nyquist: Thank you. Stefan.
Peter Nyquist: So we thank you for this session. I don’t know if anybody – if you have any concluding remarks before we close that.
Börje Ekholm: Yeah, standby. Thanking all of you for dialing in and for good questions. We put a plan in place, a new focused strategy and a turnaround plan in place last year. The execution of that plan has been going on for a year now. We’re seeing that flowing through the P&L in the first quarter and we are very comfortable about our objective of reaching at least 10% operating margin by 2020. So thank you all for participating and I wish you all a good weekend.
Carl Mellander: Thank you.
Peter Nyquist: Thank you very much and bye-bye.